Jessica Uhl - Royal Dutch Shell Plc: Thank you. Ladies and gentlemen, welcome to the Shell first quarter 2017 results call. It is a pleasure to be on this call today. I came into this role about two months ago. The handover went well, and it is good to be here today to talk about the company and our Q1 results. Before we start, let me highlight the disclaimer statement. We are making good progress in reshaping Shell towards the goal of a world-class investment case with a focus on delivering a higher return on capital employed and free cash flow per share and reducing debt; simply put, higher returns for shareholders. The strategy we have outlined to deliver a world-class investment case is working. Following the successful integration of BG, we are pushing ahead to transform Shell rapidly at all layers through a consistent and disciplined execution of our strategy. This includes investing some $25 billion this year in the delivery of new projects with an expected $10 billion in cash flow from operations by 2018 from startups since 2014. We are on track to deliver on the 2020 expectations set out at the Capital Markets Day last year. 2016 was a transition year and 2017 is the year in which we will follow through on the delivery. This is not just about managing the down cycle, this is about transforming Shell through the reshaping of the portfolio and a structural change in our culture and ways of working. We want Shell to be more competitive and resilient through the cycle. The first quarter of 2017 was another strong quarter for Shell. Our Q1 CCS earnings excluding identified items were around $3.8 billion with cash flow from operations of $9.5 billion, and free cash flow was $5.2 billion at an average Brent price for the quarter of around $54 per barrel. And in Q1, for the third consecutive quarter, free cash flow more than covered the cash dividend. Our results today show that we are successfully pulling on powerful financial levers. We continue to reshape Shell's portfolio and to transform the company with some $20 billion of divestments completed or announced that strengthen the balance sheet as they are completed. We continue to reduce our operating costs with underlying operating cost at around $9 billion in Q1, lower than Q1 2016 despite higher production levels. Stepping back from the results for a moment, we also want Shell to be a leader, to reduce Shell's carbon intensity and to contribute to shared value. We need to succeed in each of these themes to deliver the world-class investment case. Turning to our Q1 results, we've seen a strengthening of oil prices. Brent was almost 60% higher than year-ago levels, our realized gas prices were some 10% higher than year-ago levels and, on the Downstream side, refining margins were higher than a year ago in all regions except for the U.S. West Coast and Singapore. And in Chemicals, industry cracker margins strengthened across all regions. In summary, excluding identified items, Shell's CCS earnings were $3.8 billion, a more than 100% increase in earnings per share from the first quarter of 2016. On a Q1-to-Q1 basis, we saw higher earnings in all business segments. In Integrated Gas, our earnings excluding identified items were some 19% higher than in Q1 2016. This was driven by favorable market conditions, higher LNG volumes and an increased contribution from trading, partly offset by lower Pearl production volumes and the accounting reclassification in Q2 2016 for Woodside. In Downstream, our results improved, driven mainly by Chemicals, where earnings excluding identified items were some $800 million, up more than 120% from year-ago levels. This was driven by better asset availability, improved operational performance and a stronger margin environment in Asia and the U.S., and to a lesser degree in Europe. Return on average capital employed was 3.3% excluding identified items, and cash flow from operations was around $9.5 billion or $11.3 billion excluding working capital movements. Our dividends distributed in the first quarter of 2017 were $3.9 billion, or $0.47 per share, of which $1.2 billion were settled under the Scrip Program. In this quarter, we again delivered and sustained the cash flow momentum driven by a focus on the four levers: divestments, reduction in capital investment, reduction in operating costs, and delivery of new projects throughout our integrated portfolio. Cash flow from operations on a four-quarter rolling basis was some $29 billion. Excluding working capital movements, this is around $34 billion. Free cash flow on a four-quarter rolling basis was $11 billion at an average Brent price of around $49 per barrel. Turning to the Upstream business segment in more detail, Upstream earnings excluding identified items for the first quarter 2017 were $500 million, which is some $2 billion higher than in Q1 2016. This figure includes a $1.6 billion oil and gas price impact. Q1-to-Q1 also saw a $300 million increase from higher production volumes mainly from new assets, but also from improved operational performance. In the quarter, Upstream cash flow from operations excluding working capital effects was some $4.7 billion. On a four-quarter rolling basis this is $13 billion, which is almost $8 billion higher than in Q1 2016. In Q1 2015, Brent was at the same level for the quarter, $54 per barrel, and compared to Q1 2015 our CFFO excluding working capital was $2.8 billion higher, $4.7 billion versus $1.8 billion, more than double the cash generation at the same oil price with only part of this driven by increases in production. Let me re-iterate that our Upstream operating performance continues to improve. Our focus on reliability and uptime improvement as well as operating cost reduction is paying off in the form of higher production, better margins and stronger cash generation. Moving to our cash flow priorities, Shell's financial framework is a key element of our overall strategy. There is no change to the priorities for cash flow: reducing debt, paying dividends, and turning off the Scrip, followed by a balance of capital investment and share buybacks. We are working four performance levers to manage the financial framework: divestments, capital expense, operating expense and new projects. These levers are adding significantly to cash flow. We are demonstrating good delivery against these levers and I want to further strengthen the momentum with a strong focus on performance management, simplicity and cost. Fundamentally, this is an important opportunity to improve Shell's competitive performance, irrespective of oil prices. This is about transforming the company for the future, more value and bottom-line focused and nimbler to drive change and improvement across the business. Our debt reduced at the end of Q1 2017 from Q4 levels and our net debt position was $72 billion. Despite no material divestment proceeds, this quarter we have reduced our debt levels and gearing at the end of the quarter was 27.2%. Dividends declared over the last 12 months were $15.3 billion. In Q1 2017, for the third consecutive quarter, free cash flow more than covered the cash dividend. Turning to divestments, we're using asset sales to reshape the company and better match our portfolio with our strategy. Asset sales are an important factor in reducing our debt and have my strong attention. Divestments are important for three reasons: firstly, reshaping the portfolio to better align with our strategy, being more competitive, differentiated and resilient; secondly, accelerating cash flow to reduce debt; and lastly, simplifying the company. During Q1 we announced several large transactions. Examples are shown on this slide. The split of the Motiva joint venture was completed on the 1st of May. From this date, we will now fully consolidate the retained businesses and fully integrate the Norco and Convent assets and the other businesses into our Downstream portfolio. The full end-to-end integration of our Downstream assets is essential to maximizing value across Upstream, Refining and Trading, Retail and Chemicals. Another example, the Oil Sands mining divestment where we reduced our share in Athabasca Oil Sands Project from 60% to 10%. It provides a net consideration of $7.25 billion, with benefits for buyer and seller. It reduces the eight strategic themes to seven and contributes to reshaping Shell and simplifying our portfolio. Our asset sales program is expected to total $30 billion for 2016 to 2018 combined. We completed $5 billion in divestments in 2016 and we have announced some $15 billion in the last four months ahead of the $5 billion plus $5 billion plus more than $5 billion expectations set at the beginning of the year. You can clearly see we are on track to achieve at least half the targets by mid-2017. We are confident that we will deliver. Developing new oil and gas should, of course, drive new cash flow and free cash flow over time. Our portfolio is geared to deliver an improvement in production and, more importantly, in cash flow from operations and free cash flow in 2017 and beyond. We have several projects under construction for startup, particularly in the 2017 to 2018 timeframe; for example, Prelude, four new FPSOs in Brazil and in the Permian, as well as Gorgon Train 3, Clair Phase 2 and Schiehallion. By 2018, startups since 2014 in the combined portfolio should be producing more than 1 million barrels per day, some $10 billion of CFFO annually at average $60 oil prices. 2016 project delivery was consistent with our expectations. Newfield startups and the continuing ramp-up of existing fields, in particular Lula Central, Lula Alto and Lapa in Brazil, Kashagan in Kazakhstan, Sabah Gas in Malaysia and Stones in the Gulf of Mexico contributed some 140,000 barrels of oil equivalent a day to production compared with the first quarter 2016, which more than offset the impact of field declines. Before I talk about Chemicals, Deepwater Brazil and Upstream operational excellence, let me briefly discuss the outlook for the second quarter 2017. Looking forward, this slide has some indications for the second quarter. The quarterly results announcement of today provides further detail. There will be various production and oil product sales volume effects related to the divestment program, as well as higher levels of availability in Downstream. Now, let me provide some more insight into Upstream's operational excellence agenda and our growth priorities. In Chemicals, Shell has delivered solid performance over the last five years with a record quarter in Q1 2017, and returns have averaged some 15% over the last five years. We concentrated our footprint of integrated sites from 133 to 15 and focused on Shell's core competencies and advantaged feedstocks, which has become a real competitive advantage for us. Chemicals is a growth priority for Shell. Shell's Chemical strategy focuses on activities with a clear competitive advantage. We optimize returns from using existing different feedstocks, invest in our existing first-class footprint and continue to focus on enhancing our customer relationships and service. The global portfolio now offers both a regional balance and a balanced exposure to both gas and liquids, and exposure to a range of different value chains. This ensures we can capture good margins in a range of market environments. Upstream continues to drive change throughout the organization. Operational excellence is part of this change. Cost reduction continues with 8% delivered in 2015, fully absorbing BG costs with no increase in 2016 and a reduction of another 2% quarter on quarter in Q1 this year despite volumes increasing. We value examples of substantial changes; however, this time I'd like to share with you a few examples from the front-line of the Upstream business. In Brazil, we embarked on a purposeful change in organizational culture and mind-set in our operated business, leveraging our Upstream operational excellence program providing a disciplined focus to deliver cost reduction and production optimization with availability moving from 83% in 2016 to 96% in Q1 2017. In ONEgas, the operator of offshore gas assets in the Southern North Sea, we improved availability from 74% in 2016 to 92% this year with a stronger focus on identification, prioritization and resolution of reliability challenges in an hourly, daily and weekly rhythm. We are simplifying existing platform equipment, reducing logistics costs, such as the number of helicopters and marine supply vessels used. In addition, with what we have learned from our U.K. operations we un-bundled an integrated service contract within six months and delivered $50 million per annum savings and a reduction of almost 130 FTEs. In the Gulf of Mexico, we developed a technology for opening closed-in wells with oil foamer. It has been applied to a well and opened some 1,000 barrels of oil equivalent per day production on a 100% basis, a real opportunity for replication across deep water with some 20 wells identified already. Moving to deep water, and specifically Brazil, Shell's global deep water business is a growth priority. An important area for growth is, of course, Brazil. In the Santos Basin, three new FPSOs started production in 2016 with the last one close to the end of the year, so it's still ramping up into 2017. Production in Q1 2017 was at some 325,000 barrels of oil equivalent per day against the average for 2016 of 230,000, and we expect a further 2 FPSOs to come on-stream as well as the Libra Extended Well Test FPSO in 2017. In addition to an impressive project delivery track record, Petrobras is demonstrating significant gains around a learning curve in the pre-salt, drilling wells and ramping up FPSOs much faster over time. Our teams are closely collaborating with Petrobras, for example, helping to optimize well designs and execution practices based on our deep water experiences elsewhere within Shell. Our current program provides us good visibility on continued low breakeven growth into the next decade. Beyond that, we will review upcoming bid rounds as a potential opportunity to further extend our position. Let me close out. We are aiming with our strategy and performance to create a world-class investment case for Shell. 2016 was a year of transition and we are now delivering. Our strategy is paying off. This year is another year of progress for Shell to become a world-class investment. In the end, you will measure this as total shareholder returns, and so will we. I think that by doing a better job on delivering higher and more predictable returns and free cash flow per share, and underpinning all of this with a conservative financial framework, we can create a better investment case, a world-class investment case. With that, let's go for your questions, please. Please, could we ask that you just ask one or two each, so that everyone has the opportunity. Thanks very much.
Operator: Thank you. We will now begin the question-and-answer session. We will take our first question from Jon Rigby from UBS. Please go ahead. Your line is now open.
Jon Rigby - UBS Ltd.: Thank you very much and hello, Jessica. Two questions. The first is just looking at your operating cash flow in the first quarter, it's incredibly impressive and it looks to me to be significantly ahead of a oil price corrected implied operating cash flow that's in your plan for the 2019 to 2021 period. So, what I want to understand is, versus the assumptions that you have in that plan and, obviously, taking into account you're expecting a further $10 billion of operating cash flow from the start-ups, where are the areas of out-performance? Is it macro, i.e. in the Downstream, or is it delivery of underlying performance in the business? If you could give or characterize some kind of color around that, that would be great. The second, just a small point. When I look at the Downstream, although the Downstream is a very decent beat, I think, is the marketing number – it looks to me it looks a little soft, if I look at it against a run rate historically. And given oil prices were fairly stable and, certainly, on our markers, marketing margins as a whole looked okay, I just wondered was there anything unusual in the first quarter that would have just softened marketing earnings a little bit that we should know? Thanks.
Jessica Uhl - Royal Dutch Shell Plc: Great. Thank you, Jon, for the question. To your first question on CFFO and what is driving the very strong performance for our business in this quarter, I'll point out a few things. You talked about out-performance. Certainly, there was the external environment which supported all of our businesses, so we did see price help in both Upstream and Downstream in our Integrated Gas business. But importantly, it's underlying operational performance that you're also seeing coming through these numbers and our operational excellence agenda starting to pay off. There's a couple proof points on that. Availability in our Refining business and in our Chemicals business went from some 89%, 90% last year to 93%, 94%, and that is certainly contributing to higher volumes and more cash coming to the bottom line. I noted a number of examples from the cost agenda that's also supporting the margin environment, both in the Downstream and in the Upstream business. And of course, the $2 billion increase in earnings that we're seeing in the Upstream business, which is a combination of growth coming through, improved performance, which I spoke to a bit in the North Sea and other parts of our Upstream business coming through to drive that $2 billion increase in earnings; and, that's certainly flowing through to the bottom line as well. So yes, there was a good environment, but importantly, we're running the business really well. The operations are very strong and that is coming through to the bottom line. On your second question, marketing numbers are still very good, perhaps a little bit softer. The only thing worth note there, there was some softness in the margins, but also some FX impacts that you're seeing come through, but otherwise, if you look at the trend of that business, still very strong earnings and cash coming from the business. So, we remain pleased with the performance of our marketing business, and there's really no performance issue to note, really just margin and FX impact making the difference. Thank you.
Operator: Thank you. And now, we'll take our next question from Thomas Adolff from Credit Suisse. Please go ahead. Your line is now open.
Thomas Adolff - Credit Suisse Securities (Europe) Ltd.: Hi, Jessica. Two questions from me as well. I guess, the first one is what your first impressions are as CFO of Shell, obviously, as a co-pilot of the firm. Do you feel the strategy in place is sound and it is just about executing what is in place? Or in the two months you've been the CFO, have you already come up with new ideas to strengthen the stated strategy? And perhaps you can discuss what they are and what this means. On the second question – and you've given some examples on improved availability, both in Brazil and the U.K. And if I look back at the annual report, I think production efficiency delivered some 100,000 barrels per day and that's around 3% of crude production. So in essence, you've offset your portfolio decline rate. Now, if I look at operating efficiency, which obviously looks at the entire production process and captures maintenance, unplanned outages, et cetera, I think most of your peers would say it's still in the low 80%s. Now, if you purely look at plant reliability, which is just a utilization rate when it's operating, I think most of your peers would say we're already in the 90%s. So perhaps you can comment where platform reliability is today as well as operating efficiency on average across your portfolio and where you aim to be over time. So, what is the potential upside from what you still have today? Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Thank you, Tom, for your questions. To your first question on the strategy, I feel really fortunate to be stepping into this role at this point in time. I think we've got a very good strategy, a very clear strategy and we've made great progress in the last year delivering against that strategy. The BG acquisition and the integration of BG accelerated that strategy in terms of our growth priorities, particularly around Integrated Gas and deep water. That's coming through. And the overall reshaping of the portfolio to that strategy, which you're seeing happen as we move our strategic themes from eight to seven, and again, making choices with our divestment program to ensure we've got the right portfolio to match the strategy. So, I absolutely believe we've got the strategy that's right for this company in terms of the capabilities and the assets that we have, and it is mostly around delivery of that strategy and execution of that strategy. Again, really good progress being made, really great set of results for me to have to present in my first quarter. But I like to think, of course, that I'll have an impact, and I think there's still more value to come from this company. I think there's still more we can drive on the operational excellence agenda, continue to fine-tune the portfolio and create differentiated value for our customers, our partners and our shareholders, ultimately. So, I think good strategy, good delivery, more to come, and I look forward to being a part of that. In the second quarter, when Ben and I are presenting, there may be some further reflections that we'll share in terms of where we see the company a year after the Capital Markets Day. Again, a lot of delivery has happened between now and then, and a lot of things, frankly, have been de-risked, if you will, in terms of where we stand today versus 12 months ago and a good time to reflect on that and share some further thoughts in terms of next steps. In terms of availability, obviously, we've got a big portfolio. There's a Downstream piece. There's the Upstream piece and the Integrated Gas piece. Across all of our businesses, operational excellence is at the core of our strategy and the core of our priorities. It's part of the target-setting for every asset in the company, and we're looking to move all of those to a top quartile range. And it would depend if you're talking about a liquefaction asset versus a refining asset versus an Upstream asset, so difficult to provide one number. What I've shown are some proof points of how we're focusing on it, as I said in the Refining business and in the Chemicals business, where we've moved it from below 90% to 93%, 94%, expecting for that to continue going into Q2 relative to Q2 last year. That's also referenced in the outlook statement. So, clearly a priority. We're clearly delivering on that agenda, but likely more to come to ensure that's the case across the portfolio. Thank you.
Operator: Thank you. And now, we'll take our next question from Lydia Rainforth from Barclays. Please go ahead. Your line is now open.
Lydia Rainforth - Barclays Capital Securities Ltd.: Thank you, and hi, Jessica. Two questions, if I could, the first one being on the cost side. I think in the statement you give the adjusted cost base of about $9.2 billion, which is well below that $40 billion run rate for the end of the year. Can you just talk through where you expect that to go as we go through 2017? And then, the second question was just, given all the delivery on the divestment process, where do you see gearing at year-end? And do you think it gets to a level where it allows you to at least offset some of the dilution from the scrip by the end of the year? Thanks.
Jessica Uhl - Royal Dutch Shell Plc: Thank you for those questions. We're pleased with the cost reduction delivery we're seeing in the business and those trends continuing. You see that trend through 2016 going into 2017. We've indicated operational expense under $40 billion and that's the number that we're sticking with at this moment in time. There's, of course, ins and outs. We've got the growth happening in our business with the Motiva split. We're going to move from being equity accounted to consolidating those numbers. So, there's a fair amount of movement associated a bit with the portfolio restructuring, but certainly with the growth. So, catering for that, we feel the guidance of under $40 billion is a good one, but of course, we're doing all we can to make our operations, both the operational expense and the capital expense, as efficient as possible. So, that agenda is not softening in any way. And as I come into the role, I certainly hope there's more opportunity for us to continue to push those paradigms. And what we have tended to find is that as we get on this journey, we surprise ourselves in terms of further opportunity. So, I remain optimistic we can continue to move the needle there, but for now, that's good guidance. The divestment process – and you were asking about cash generation, and I think you're going back to share repurchases or getting the scrip off. Is that correct? As I mentioned in the presentation, our priorities for cash have not changed. So, our first priority is debt reduction followed by dividends, then taking off the scrip, and then finding the right balance between capital and share repurchases. That's unchanged. We don't see that changing any time in the near future. We have a number of debt maturities that are happening over the next 12 months, 24 months. I think you can see all of that in our reports for further insight, and we will follow that trajectory in terms of using our excess cash to pay down debt. The goal is to get the debt and the gearing down to some 20%. When we have that line of sight, we'll be looking to take off the scrip at that point in time, and then in the future find the right balance between capital investment and repurchases, where we think capital investment piece should be some $25 billion to $30 billion for the next couple of years. We think that's the right level in terms of delivering on our strategy. Thank you.
Operator: Thank you. And now, we take our next question from Lucas Herrmann from Deutsche Bank. Please go ahead. Your line is now open.
Lucas Oliver Herrmann - Deutsche Bank AG: Jessica, thanks very much. Two as well, if I might. First, can you give us some idea of where we are, now, in terms of the savings from the BG Group, whether you've really realized the full level that you anticipated at the time of the acquisition? And secondly, and staying with balance sheet and just thinking about forward accounting changes, I wondered whether you had any observations you'd care to make on IFRS 16 and lease accounting and how that may impinge upon your gearing ratios. I appreciate we're talking 18 months to 2 years out. I appreciate an element of it is cosmetic as well, but to what extent that also alters mind-set around gearing and levels? Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Sure. Your first question on BG savings synergies, overall, as we've said before, really pleased with the delivery of synergies. They happened sooner than expected, so we had committed to $2.5 billion. We got to $3.5 billion. We're comfortable that we see our path to $4 billion. We're still aiming for $4.5 billion. But overall, very pleased with the delivery we've seen from a synergies perspective and, again, the pace we've seen that coming through to the business. Overall, again, the integration, from my perspective, couldn't have gone better. I was part of the Integrated Gas business last year and saw it first-hand, and just really pleased with the portfolio that we have with BG, the future opportunities it presented and, importantly, the team and the culture that came with those assets as well. So, overall, pleased on multiple fronts and the savings piece exceeded original expectations, and we see our path easily to about $4 billion, which is well above what the original expectations were. In terms of IFRS 16, working through that, we don't see it having a material – certainly, not a material value implication. Things move around on the financial statements and not seeing that as an issue from a gearing perspective. We take all of these things into consideration. But again, that is more kind of accounting and moving things around, but that shouldn't be an issue in terms of our ability to get down to our gearing levels that we're targeting in the near-term. Thank you.
Operator: Thank you. And now, we'll take our next question from Christyan Malek from JPMorgan. Please go ahead. Your line is now open.
Christyan F. Malek - JPMorgan Securities Plc: Hi, good afternoon. Thanks for taking my question. Jessica, just when you look at Shell's CapEx plan for 2017 and arguably with a fresh take, do you think there's more to do in cutting both your spend as well as tweaking that CapEx number? Specifically, on OpEx, can you be more specific on the run rate target of below $40 billion? I understand there's a range. Any way you can quantify that and give us more detail as to where you see that's trending to would be good. And the second question is, as you look at the whole portfolio, is there any particular area that you would like to make a change to have an impact on now that you're in this seat?
Jessica Uhl - Royal Dutch Shell Plc: Thank you. Your first question referenced CapEx and OpEx. I'll try and answer what I think your question was. So, on the CapEx side, we've had a significant impact in terms of the capital efficiency of our business. So, the lower numbers reflect, to a large degree, what we've been able to do in terms of better design and better contract and better build projects versus doing fewer projects. And we're seeing those effects happen before we make the decision to go forward with the project as well as after making the decision to go forward with the project. In construction, we're able to affect that change and we're continuing to affect that change. That's been a combination of, as I mentioned, scoping. It's a combination of managing demand, managing specifications better and some effect around the price environment as well. But to a large degree, our capital efficiency has been driven mostly around how we're doing things and doing things differently, and from that perspective I think it will stick going forward. On the OpEx range, I'm not going to give you a new number. So, I've already indicated below $40 billion. As I mentioned, there's things that are coming in and out, but that's not to say that our ambition level is not significant and that we don't see further opportunity, both on the capital and the operating expense side. I certainly do and believe that more is possible, but I think the guidance we've given is prudent. From a portfolio perspective, as I indicated before, I think we have the right strategy. I absolutely do; and, I believe we've got the right assets for that strategy. From my perspective, it's primarily around fine tuning more than any significant adjustments that's needed; that we've got a pretty privileged position in our Integrated Gas business in terms of our access to supply as well as our access to markets. And we're continuing to build more access to markets, both in terms of customers and new countries and new products. In our Deep water business, I think a pretty privileged portfolio as well. What we brought in with BG and our Brazil portfolio is impressive; our Gulf of Mexico portfolio, impressive. And, in addition to that, we've got a number of future growth opportunities across our businesses in IG, Integrated Gas, in deep water where we can take further decisions in terms of growing the portfolio going forward. So, I think we've got good assets, now. We've got a good portfolio of future growth choices where, at the moment, the focus is more on how do we ensure that those are the most competitive projects, and that's really where a lot of our energy is going into. We're not needing to go put a lot of energy into finding new options. We've got a lot of really good options. It's right now about how do we make those options across our business as competitive as possible, and to make the most capital efficient and capital effective decisions going forward. Thank you.
Operator: Thank you. And now, we'll take our next question from Oswald Clint from Bernstein. Please go ahead. Your line is now open.
Oswald Clint - Sanford C. Bernstein Ltd.: Jessica, thank you. I just wanted to ask about the cash flow, again, but really in context of some of the newer Upstream assets like – I know you won't talk about specific projects, but if you could maybe characterize the contribution in the quarter from big projects like Gorgon and Kashagan, and say were both those projects producing and actually contributing in the first quarter? And potentially, were they offset by Pearl? Some way that we can think about the contribution from those three assets, please. And then, secondly, again on CapEx, year-over-year numbers come off in most of the regions except North America, where it was still a large number and still relatively stable. Could you just talk about the main projects that are still seeing CapEx going in here in North America and what that number might do in the second half as you start to take the reins when it comes to the Permian Basin? Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Good. Thank you for that. So, indeed, our cash flow is steadily increasing due to the coming onstream of a number of projects. I spoke about that during the presentation and mentioned some of the projects. Again, you mentioned them as well. So, indeed, Gorgon ramp-up over the last year, that is coming through in the numbers. Kashagan is coming through in the numbers. The FPSOs are also coming through in the numbers as well. So, absolutely, that is making a difference. And what we've indicated before, between 2014 and 2018 we expect another million barrels of oil equivalent a day of new production associated with growth that is either ramping up or will be coming onstream in that timeframe. And so, between now and 2018, that's another $5 billion plus of CFFO that should be coming through from those new projects and the further projects that will be coming onstream in 2018. So, that's on the cash flow piece. And as you said, that more than offset the Pearl impact. On CapEx, in 2017 a mix, of course, between asset integrity small projects, which is the bread-and-butter of running the company, and ensuring we maintain our assets and the quality of our assets for ongoing production. Then, there's, of course, the growth piece coming through, and in North America you have the Permian, the investments happening in Permian, to some extent, also, in the Utica as well. We had the Appomattox is under construction as well. We've taken FID in Kaikias, and we're starting to ramp-up the Pennsylvania cracker project as well. So, a number of things happening in the U.S. We're fully integrated in terms of most of our business is in the United States. We've got our Deep water business, our Unconventionals business, our Chemicals business, our Downstream business are all present, and all of that contributing in terms of the capital profile that you're seeing in 2017 and likely will see, to some extent, for the next couple of years because of some of the projects I've already referenced. Thank you.
Operator: Thank you. And now, we'll take our next question from Jason Gammel from Jefferies. Please go ahead. Your line is now open.
Jason Gammel - Jefferies International Ltd.: Yes, thanks very much and hello, Jessica. I wanted to come back to slide 12 in the presentation on divestments. You've not really had any material in-flows from divestitures, yet, in the year and you make reference to the $15.7 billion of consideration that's been announced so far. My question is how much of that $15.7 billion will be a reduction to net debt in the near-term? And really, what I'm getting at is that, for instance, with the AOSP you partially accepted equity from the purchaser. And in the case of the Motiva JV, I believe your partner just accepted a larger share of debt that wasn't being consolidated. So, I assume that $15.7 will not be fully reflected in net debt reduction in 2017. The second question I had, hopefully, is fairly quick. You made reference in the press release to Pearl still being in a restart right now. Can you comment on whether you would expect Pearl to be at full economic capacity in the second half of 2017?
Jessica Uhl - Royal Dutch Shell Plc: Good. Thank you for that. On your first question, to be clear, we've announced $20 billion in divestments, just to make sure everyone's oriented around the same number. And in terms of net debt reduction and the relationship to divestments, what I would say is we've generated $5 billion in this quarter from operating our business and that did not include any cash from divestments; so, very strong free cash flow generation which can support debt reduction on its own, if you will. The other point I'd mention is we've got $19 billion of cash on our balance sheet. So, that's another source of repayment, if you will, for debt during the year and going forward. And then, in terms of the likely cash profile of the divestments announced, most, the majority of, will be cash and will come through as they close. We've got a number of contingent payments and upsides and things like that. We're very careful in terms of how we define our divestment proceeds. A lot of those contingent things are not included in those numbers, and so those are truly upside. So, if things close according to schedule, I'd say the majority of these numbers will be showing up as cash. But as you mentioned, some of them are in shares and that will happen later in the year, but that is the minority, not the majority, of the cash. We're looking for AOSP to close in the second quarter. North Sea, we hope to complete in Q3 or Q4 and, as you know, Motiva just closed. Thank you.
Operator: Thank you. And now, we'll take our next question from Michele Della Vigna from Goldman Sachs. Please go ahead. Your line is now open.
Michele Della Vigna - Goldman Sachs International: Jessica, congratulations for the strong result. I had two questions, if I may. The first one is, when you look at your future pipeline of projects pre-FID, which ones do you see in terms of attractiveness are ready to go through the sanctioning process? And secondly, as we look into the second half of the year there's a lot of LNG capacity coming on. We could see some weakness in the spot LNG price. I was just wondering, on your LNG portfolio of long-term contracts, how much of it does it come up for re-negotiations by the end of the decade? Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Thank you for those questions. I note that I failed to answer the second question, and I don't want that to seem like that was purposeful. So, I'm just going to go back and make a comment on the Pearl restart. Pearl is – as we explained last quarter in terms of the plan of addressing the issue and ramping the asset back up, it's going according to plan. We started the ramp-up at the end of March. We hope to have it fully ramped up by the end of Q2, early Q3. So, to your question, do we expect in the second half for Pearl to restart and to be in full production, that is what we're working towards and have reason to believe that that should happen. You're always a bit cautious until you actually deliver that, but that is the intention. And as I said, things are going according to plan. So, that was to address the last question. Now, going to the question around pre-FID options, what I would say is we have a number of good options across all of our business segments, Integrated Gas, Deep water, Conventional Oil and Gas. What we're working on is ensuring that each of those projects is as competitive as possible, and that's really where our energy is going into. We don't feel short options. We feel we have the luxury, if you will, to really focus on optimizing those projects. Also, there is tremendous amount of growth already happening in our company. So, you see that coming through in our numbers today. You'll see those numbers coming through in the coming years, as I've already indicated, in terms of incremental $10 billion of cash flow between 2014 and 2018 associated with growth. So, we've got a lot of growth happening at the moment. We've got a number of good options in our LNG portfolio and our deep water portfolio, in particular, but again, across the business and we'll make those choices when we feel it's the right moment and it's the right project. Thank you.
Operator: Thank you. And now, we'll take our next question from Biraj Borkhataria from Royal Bank of Canada. Please go ahead. Your line is now open.
Biraj Borkhataria - RBC Europe Ltd.: Hi. Thanks for taking my question. Afternoon, Jessica. I have a question on your reserve life. If I look at your reserve life relative to some of your peers, it's relatively low. So, I was wondering if you could talk about resource-to-reserve conversion, specifically as your capital spend grinds lower and lower, are you confident that you can replenish your reserves base given the current resource set over the next few years? And on reserve life, is that number still relevant for Shell given the position you're in at the current moment in time with all the moving parts and divestments, et cetera? And then, the second question, just going back to slide 16, you showed some impressive numbers on Brazil availability for the operated side. I was wondering if you could talk about what availability levels are like in the Petrobras operated pre-salt assets, and has there been any change there over the last year? Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Thank you. I do believe that reserve life is not necessarily the most meaningful metric to understand our business and the potential for value creation. We've got a Downstream business that generates significant earnings, significant cash flow that is not tied to that metric. In Integrated Gas, increasingly, there's opportunities to grow that business without necessarily the resource base specifically tied to it. And then, in the Unconventionals business, you have a conversion of resources to reserves which doesn't show up in the reserves base. So, I think, in general, it's a more nuanced conversation in terms of understanding what drives value and cash for the business and reserves not necessarily being the right or the complete metric. We're very comfortable, as I said, with our current growth agenda and projects we're bringing onstream to address decline, to address portfolio changes. You see that happening. As I mentioned before, we've got a suite of opportunities in terms of further growing this business in Downstream, in Upstream and in Integrated Gas. So, we don't feel like there's a need for any inorganic activity to address growth. Over the medium term, we really, I think, have the right portfolio to drive growth. And as a company spending $25 billion this year, and then $25 billion to $30 billion over the coming years, we still are investing significantly in our company and in growth; as I said, most of that, if not all of that, organic. So, I think we're in a good position and we're hopefully striking the right balance between commitments to shareholders, commitments to our projects, commitments to our assets and supporting growth and value creation over time. Thank you. In terms of Brazil, indeed, spoke to our own operated position. What I would say, in general, with Petrobras, very important partner, very impressive company, and the way they operate really impressive, and we continue to learn from one another, as I referenced in my speech earlier. In terms of the specifics about how they're operating their assets and availability, I would respectfully ask for you to follow-up with Petrobras. We don't like to make comments on behalf of other companies. But overall, we're really pleased with the relationship and the quality they bring to operating their assets. Thank you.
Operator: Thank you. And now, we'll take our next question from Christopher Kuplent from Bank of America. Please go ahead. Your line is now open.
Christopher Kuplent - Bank of America Merrill Lynch: Thank you. Hi, Jessica. Just two very hopefully quick ones. Please stop me from doing a stupid annualization mistake. So, CapEx has come in quite significantly below last year's Q1 and I suspect BG's CapEx at the time was probably running at a little higher rate than it is today. So, last year it looked like a reasonably stable distribution of CapEx on a quarterly basis across the year, so please stop me from taking to-date's number times four and ending up with something that's below $20 billion. And second question would be, I understand most of your disposal proceeds are still hitting your balance sheet before the year-end, but can you give us a rough idea, even if it's just a range, at today's $50 oil prices and macro conditions, what kind of cash flow from operations and CapEx you expect to deconsolidate post the disposal of what we know, i.e. what you've already announced? Thanks.
Jessica Uhl - Royal Dutch Shell Plc: Thank you, Chris, for the questions. Indeed, CapEx $4.7 billion for the quarter, relative to our guidance, that seems a bit light. However, there is phasing involved, and so we would expect that to trend-up somewhat in subsequent quarters. So, we're remaining comfortable with our $25 billion guidance that we've provided; and, as I said, likely see this trending up because of phasing associated with the projects. That being said, as I mentioned earlier, we're continuously challenging the organization in a responsible way to look for further opportunity to become more capital efficient. So, will we continue to try and drive that number down from a capital efficiency standpoint? Yes. But in terms of sanctioning work or going through with projects, we remain committed to our current growth program and the current capital investment levels that we've indicated. In terms of the impact of the divestment program on CFFO and other metrics, what I would say is to refer back to the guidance we provided at the Capital Markets Day last year where we're moving the company over the next couple of years and the type of cash flow that we're looking to generate from this business, which fully considered the impact of the divestment program. So, for 2020, we were indicating free cash flow from operations in excess of $20 billion. That still remains valid for us and, as I said, that fully reflected the impact of the divestment program. I also hinted earlier that, in Q2, Ben and I will be providing perhaps a bit more of a wider update with a reflection on where we stood versus last year, and so probably more to say on that in Q2. Thank you.
Operator: Thank you. And now, we'll take our next question from Irene Himona from SG. Please go ahead. Your line is now open.
Irene Himona - Société Générale SA (UK): Thank you. Hello, Jessica. Two questions, please. Firstly, on Chemicals in Q1 – and I note it's the only division whose earnings came in well above the top end of the market consensus. In fact, it was about 20% above the top end. I know you don't guide on divisional earnings, but how should we think about the performance of Chemicals going forward? Are there some metrics that you can perhaps guide us on? Secondly, going back to divestments, indeed, you highlighted how fast the progress has been and we're now looking at $20 billion announced plus $5 billion, so $25 billion of the $30 billion. You have over $400 billion of assets on the balance sheet. How should we think of the likelihood that by 2018 the $30 billion is exceeded not just because you want to pay down debt, but precisely as part of the process of simplification and reshaping of the Shell portfolio? Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Thank you, Irene. Indeed, Chemicals had a exceptionally strong quarter; ties into why we see it as a growth priority for the company. So indeed, certainly, market conditions were helpful, so that's important to note. But as I mentioned during the speech, the underlying performance of the business, very strong. The availability number that I mentioned going up to some 93% for the quarter. In a good market, we were able to run our assets very well and take advantage of those market conditions. So clearly, that is the goal of the organization, is to maintain those operating standards, those levels of operational delivery going forward. As I mentioned in the speech, we believe we've got competitive advantages from various perspectives. We continue to invest in that business and focus this business, as I said, as a growth priority because we believe that the opportunity that we're seeing in Q1 will be present going forward as well. And those are the kinds of results we're hoping to drive the company towards going forward. And again, that's why it is a growth priority, because we believe the fundamentals of the business and the industry are attractive and are well-suited in terms of our capabilities and our ability to create differentiated value in this sector. From a divestment perspective, what to expect going forward, indeed, the divestment program wasn't driven by simply wanting to increase cash. It was really driven by the combination with BG and the opportunity to high-grade our portfolio and better align our portfolio with our strategy; and, that's really what we have been doing with this program. Yes, we're generating cash, which is going to help with the financial framework, but importantly, going back to the strategic rationale of the BG acquisition, bringing in deep water assets, Integrated Gas assets that matched our strategy, that leveraged our positions, improved our positions, gave us an opportunity to then go around the portfolio and deal with the tail, if you will, and to move things that were perfectly good assets, but perhaps better owned by others. And the $30 billion program has really been driven by that high-grading mentality. We'll continue to push that. I don't think we're entirely done and we haven't crossed the $30 billion threshold, yet, but we are certainly getting closer. And on an ongoing basis, I think that will be normal course of business in terms of us always challenging ourselves. Do we have the right portfolio allocation, the right capital allocation that matches our strategy, matches our capability to ensure we're delivering the most value from those assets, or are they better owned somewhere else? So, I think there'll always be a certain amount of divestment activity that you'll see beyond 2018 and beyond the $30 billion. Thank you.
Operator: Thank you. And now, we'll take our next quarter from Martijn Rats from Morgan Stanley. Please go ahead. Your line is now open.
Martijn P. Rats - Morgan Stanley & Co. International Plc: Yes. Hi. Good afternoon. Two questions from me as well. First of all, I wanted to ask you where we are now in terms of the head count reduction. During the course of last year, your colleagues talked about a redundancy program of 12,500 full-time equivalents. The annual report that you published only gives average numbers for the year and I was wondering, is this program complete? Have all the savings that are associated, but also the cost associated with it, are they already behind us or are there more effects from that program to see over the next couple of quarters? And secondly, I just wanted to check, in a few answers you've now said CapEx $25 billion this year, but $25 billion to $30 billion next year, and I know that is formal guidance. At the same time, how likely is it to see CapEx go to $27 billion, $28 billion in 2018 if oil prices do not move materially? I just wanted to make sure that there isn't a sort of underlying message there.
Jessica Uhl - Royal Dutch Shell Plc: Great. Thank you. In terms of the head count reduction, indeed, we've made a lot of progress in terms of the cost agenda and the restructuring of our business with significant number of reductions happening, again, across the business, across regions flowing through in the last couple of years. We're not complete. There's still activity going on and we'll see further reductions taking place. There's still some redundancy provisions that are in the numbers, which is also an indication that we're not entirely complete. So yes, as part of our ongoing effort to be competitive through the cycle, reset our cost base, there will be further reductions that you'll see going forward. Again, it's not just the current price environment, but it's really about how do we build the most competitive company, and there's still room for us in terms of certain parts of our business of further reductions happening. In terms of the capital agenda going forward, the $25 billion to $30 billion, given the size of our company, given our strategy, seems like the right number. We believe that's the right number to support the growth and to support the assets as well, themselves, going forward. You see the cash generation we're doing today at the current price environment and some would challenge that we're not spending enough. We are trying to find that right balance. As I have mentioned, our first priority with cash is debt reduction, is the dividend, and then removing the scrip. So, the circumstances and conditions will be important for us to move to the higher or lower end of that capital range. But again, to support our strategy, to support the cash flow generation that we want going into the 2020s, we've got a number of options in our IG, Upstream, Downstream businesses in terms of growth opportunities where we could easily spend more than $25 billion. It's really getting the financial framework balanced appropriately, making sure we're picking the right projects and the right timing to support that growth going into the 2020s. Thank you.
Operator: Thank you. And now, we'll take our next question from Anish Kapadia from TPH. Please go ahead. Your line is now open.
Anish Kapadia - Tudor, Pickering, Holt & Co. International LLP: Thank you, and good afternoon. My first question was following up on an earlier question on the cash flow. When I look at the cash flow from ops, it was over $11 billion in Q1 if I exclude working capital. So that kind of implies $40 billion to $45 billion to cash flow in 2017 in the current oil price environment. I was just wondering does that kind of feel reasonable? Were there some one-offs in Q1, and can we potentially see things like cash tax, provisions, pensions being headwinds for the rest of the year? And also, for 2017, what's the impact in terms of the cash flow that will be lost from the assets associated with the disposals, with the $15 billion still to come? And second question on LNG, we're seeing quite a lot of projects being proposed still in Canada and in the U.S. I was just wondering how you see your projects in those regions stacking up versus your peers? And how much of an advantage is it, do you think, that you could potentially sanction projects with a relatively lower amount of long-term contracts than peers, given your portfolio strategy? Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Great. Thank you. Starting with the first question on cash flow in 2017 and the ratability of it, if you will, cash flow reflects the underlying operating performance of the business. There aren't any major one-off items in those numbers. So, I think they're, fair to say, relatively clean and, again, reflecting the underlying operational performance of the business. The 2017 cash flow impact associated with divestments, I would, again, point you to the guidance we've provided for 2020. Again, we fully contemplated this $30 billion divestment program in terms of the cash flow implications when making that disclosure, if you will, and as I've mentioned before, a whole host of growth projects still coming through. You see that coming through in our numbers today. We're not done. They haven't fully ramped up. There's more projects coming online. And those numbers will be flowing through. In addition, we've got the operational excellence agenda. You're seeing that coming through in Q1. We'll continue to push that agenda. That will also be a source of incremental volume and value. Between the growth and the operational excellence agenda, we should offset decline and the divestment program. So again, in total, when you bring that all together, that's what we tried to do with our Capital Markets Day aspiration that we provided of some $20 billion plus in free cash flow; again, taking all of those things into consideration assuming a oil price of some $60. I think those were the – oh, to your second question, then, on LNG projects in North America and the competitiveness of our projects – I believe that was your question. We believe we've got very competitive options in North America and in other places as well. So, I think we've got a number of good opportunities that we're continuing to work, and we believe we've put very competitive targets on the organization in terms of ensuring that the next project we sanction is the most competitive project in the industry. That's what we're aiming for. We're being very diligent in terms of how we're approaching these projects, both in terms of the design and execution and the timing. And so, making sure we bring all of that together to ensure we pick the right project from a suite of very good projects that we have allows us, I think, to have some good options on the table and we'll make those choices in the next couple of years when we feel the timing is right and the project is right. Thank you.
Operator: Thank you. And now, we'll take our next question from Theepan Jothilingam from Exane BNP. Please go ahead. Your line is now open.
Theepan Jothilingam - Exane Ltd.: Yes, hi, Jessica. Two questions, please. Firstly, could you just talk about your activity levels in the Permian and sort of comment on what you see as the outlook for the rest of this year in that play. And secondly, perhaps if you could also just touch on how Shell sees the outlook of sort of oil production demand for the remaining part of 2017? Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Thank you, Theepan. I'm sorry, could you repeat that second question?
Theepan Jothilingam - Exane Ltd.: Yes. I just wanted to get a sense of how you see oil demand given the scope of your marketing redemption (1:08:35) business, just how you see that going through the rest of 2017. Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Okay. Permian, very pleased with the position that we have in the Permian; very good acreage and, importantly, very good delivery by the business. We have learned and improved markedly in that business over the last couple of years and are delivering competitively from a well delivery perspective as well as an operating perspective. So, a good asset, a well-run asset that gives us future growth options going forward. We've got, between ourselves and our partners, some 15 to 20 rigs in the Permian, fairly stable level of activity, relatively high level of activity that will continue through the year; and, there's nothing kind of new to signal from that perspective. Again, great asset, business is running it very well, very competitively and provides us some flexibility and some options, but right now we're comfortable with the level of activity, which is reasonable, and you'll be seeing more volumes coming through in our numbers from the Permian this year and next. Oil demand, a lot's happening in the oil markets. I think all of us read the news daily in terms of what to read with inventory levels moving or not moving on the demand side and what that means. Is the market soft or not? I think it's interesting. We certainly keep track of it. I think the bigger issue or the bigger concept for us is to really be building a company that is resilient through the cycle. That's where we've got all of our energy. We're focusing on the things that we control, which is our capital efficiency, our operational excellence, our operating costs. And what you see is a company that's generating some $11 billion in cash flow from operations in a $54 world. So, I think we've got the right levers to pull. We're pulling them. I think we're demonstrating good delivery today and likely further opportunity, as I said before, going forward, but very competitive results today and building a company that's resilient through the cycle.
Operator: Thank you. And now, we'll take our next question from Rob West from Redburn. Please go ahead. Your line is now open.
Rob West - Redburn (Europe) Ltd.: Hi, Jessica. Thanks for taking my questions. I'd like to ask the first one about Pearl; sorry to come back to it. One of the things I find amazing about it as an asset is how much it integrates with Downstream and Chemicals, providing all the feedstock to those businesses as well. And I was wondering if you could make a comment on – was the outage at Pearl in the quarter, on balance, a net negative for the Downstream and Chemicals businesses because it deprived them of feedstock? Or could you say, actually, there's some positives in there as well? If I look at some of the things coming out of Pearl, I think it's like 20% of Group III lubricants-based stock. So, I was wondering if you could comment around if the impact on the Downstream business are broadly positive or broadly negative? And talk about that a little bit. The rationale being that if the product supply was disrupted, it might have contributed to some of the strong pricing and just the pricing that you see within that business. My second question is on the CapEx. So, one of the things I find quite hard to get visibility on is the non-cash component, which I think reflects, sometimes, finance leases coming onto the balance sheet, and then having to make addition to PP&E on the other side of it. Could you just give us some guidance on, are there any additional finance leases still to come onto the balance sheet within that cash CapEx versus nominal CapEx guidance? Just to help us understand that. Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Thank you for your question. Indeed, Pearl is an example of our integrated strategy working. So, as you mentioned, the base flow is flowing through into our Downstream lubricants business, an important value chain for us. Difficult to give you just a couple easy numbers because there's various ins-and-outs. Going into the controlled shut-down we had inventory in stock, so we've been able to use inventory. We also have another GTL asset that we can leverage as well. So, you're right. There would be an implication on the Downstream business, but because of inventory and other levers that we have, some of that can be managed. And on the whole, you can see in our results that we more than compensated for the impact of the Pearl shutdown. In terms of CapEx and the non-cash component, indeed, there is a lease piece in our numbers. It's some $2 billion in the numbers and we will have more of that coming through in the coming years at about the same level. So, that is true that there is a non-cash component in that capital expense number guidance that we provide in 2017, and also going forward. Thank you.
Operator: Thank you. And now, we'll take our next question from Iain Reid from Macquarie. Please go ahead. Your line is now open.
Iain Reid - Macquarie Capital (Europe) Ltd.: Yes. Hi, Jessica. Thanks for answering the questions. Just back to Pearl, again, sorry about this, but I know you've answered various questions about it, but can you give us a specific number in the first quarter which the shutdown of Pearl affected your overall cash flow from operations by? It doesn't sound like an awful lot, given the various answers you've given, but just interested in what the number is in terms of that. Because, obviously, it doesn't just produce Downstream products; it also produces condensate and NGLs, et cetera. Second question is on the $5 billion of further disposal. I'm just interested in what's your guess at when those will complete in terms of when we'll see the cash on that. Is some part of that going to be this year or are they going to drift into next year? Thanks a lot.
Jessica Uhl - Royal Dutch Shell Plc: Okay. So, on Pearl, I think you're aware we don't disclose that separately. So, I think what's important to keep in mind is our delivery with Pearl being shut down for most of the quarter. We provided guidance in the fourth quarter to try and help understand what the potential financial implications were of that. We did that, again, in Q1 as well to provide a bit of a proxy to think about what the implications are with the activity happening at Pearl, and that's probably as far as we can go in terms of the specifics around it. But again, the ramp-up is going according to plan, started in March, should be up to speed by the end of the second quarter into Q3 and fully ramped-up by the second half. You've seen the business deliver – more than compensate for that activity in the first quarter and we've provided some guidance to help think about what potential financial implications are for Q2. And I'll note that our guidance in Q1 worked out to be a good proxy. In terms of the further disposals of $5 billion, my expectation is the cash implications for that likely would not happen in 2017. These are in-flight and, by the time you sign them and then close them, you're more likely looking at 2018 in terms of the cash coming through the door than in 2017. We'll always push to get the right deal and to get the cash as soon as possible, but just practically speaking, that's probably more early 2018 in terms of when the cash would come in from that $5 billion that I mentioned. Thank you.
Operator: Thank you. And now, we'll take our next question from Alastair Syme from Citi. Please go ahead. Your line is now open.
Alastair R. Syme - Citigroup Global Markets Ltd.: Hi. Thank you, and two questions. Just coming back to the cash flow on the Downstream, are you able to frame how big the contribution was from trading in the oil products? You made some comments around it in your prepared remarks. And secondly, can you confirm where you're at on Prelude given that it's one of your most important operated assets going forward? Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Thank you. I expect you have heard this from us before. Trading is really integrated into our businesses, both Downstream and Integrated Gas, and that's how we think about the contribution. So, we don't independently or separately identify that. The trading contribution for Downstream was softer this quarter, so I can indicate that much, but – so what you're seeing in terms of the cash flow generation from Downstream is the underlying operational performance of the business. But again, trading's really integrated in terms of how we manage the business, both internally and, also, how we disclose it externally. Prelude remains on-schedule, if you will, so we've indicated that start-up was in 2018 and we remain confident in that timing. There was a disruption that happened at the yard because of a very unfortunate incident. Didn't have anything to do with our assets, but at the site. And condolences for the individuals that were impacted because, unfortunately, individuals were impacted; but again, that had nothing to do with our asset. And that project itself is progressing well and the timeline for 2018 remains a good timeline.
Operator: Thank you. And now, we'll take our next question from Colin Smith from Panmure Gordon. Please go ahead. Your line is now open.
Colin Saville Smith - Panmure Gordon (UK) Ltd.: Hi, Jessica. Thanks for taking my questions. First one is just going back to the BG acquisition. Management's made an undertaking to buy back $25 billion worth of stock, at least, between 2017 and 2020. I understand there's no price component associated with that, but I just wondered where you stand today, how you feel about being able to honor that commitment and whether it requires a higher op rate than the one we've got at the moment? My second question is on the disposals. Certainly, at the time of the strategy, there was sort of no indication that Canadian Heavy Oil was up for sale. As you said, it was highlighted as a strategic theme. And I just wondered to what extent the desire to be carbon responsible played in deciding to dispose of that asset and if it was always in management's mind that, in fact, that was part of the $30 billion total? Thank you.
Jessica Uhl - Royal Dutch Shell Plc: Good. I'm sorry. Your first question...
Colin Saville Smith - Panmure Gordon (UK) Ltd.: My first question was...
Jessica Uhl - Royal Dutch Shell Plc: Apologies. I was writing down your second question. On the buyback question, our intent is unchanged. So, we remain committed to that repurchase number. Indeed, it was tied to a price assumption and prices have trended lower than what was originally envisioned, but what you're seeing is complete focus in terms of the delivery of this business, the delivery of our strategy, the delivery of the synergies and the entire strategic rationale around that transaction. With that playing through and with consistent cash flow delivery, as I said before, paying down the debt, getting gearing to 20%, taking off the scrip, and then looking to repurchase is our agenda. And we will do what we can in terms of creating the conditions for that to happen sooner rather than later. Q1, I think, is a good indication of the potential for us to do that. But again, we need to consistently deliver, generate that cash and manage the financial framework such that we can get to the point where we can turn off the scrip and begin the repurchase program. But as I said, that intent is unchanged. And now, the second question. Apologies.
Colin Saville Smith - Panmure Gordon (UK) Ltd.: My question was with respect to the Oil Sands disposal and whether it was always in mind within the $30 billion and to move it out of the portfolio was connected with the desire to reduce your carbon-intensity of operations.
Jessica Uhl - Royal Dutch Shell Plc: Thank you for that. The Oil Sands decision reflects a number of things. I think the first thing to keep in mind is the clarity around our strategy, what are our growth priorities for the company, where do we see our capabilities and our ability to create differentiated value, and how that asset sits in that portfolio. It's a good business. It was a well-run business. Very pleased with the delivery. But thinking about our portfolio and our company and where we can create competitive advantage, we did not see that company, that business, sitting in our portfolio over the long-term. Now, there's pieces of that business, the integrated value chain piece, and the relationship with Downstream and the upgrader where we do see value, we do see the ability for us to create differentiated value. And that portion of the value chain we have retained. So, I think it's a story around being clear what your strategy is, where you're going to create competitive advantage, and having your divestment program and your portfolio program match that. And that's really what drove that decision, and we're really pleased with the outcome. And as you said, it does speak, also, to the simplicity – simplification agenda that we have as we try and be more focused as a company in terms of our strategy, our portfolio and our business, which we believe will ultimately allow us to create more value and generate more value for our shareholders. Thank you.
Operator: Thank you. And now, we will take our last question from Jason Kenney from Santander. Please go ahead. Your line is now open.
Jason Kenney - Banco Santander SA (London Branch): Hi, Jessica. Jason Kenney, Santander. So, I remain a tad concerned by the extremely wide ranges for estimates on full-year basis 2017, 2018, 2019. And it doesn't seem to fit with the sensitivity guidance that you've given previously on the movements with oil prices or cash flow or earnings. And I'm just looking to see if there's anything you can do now you're in the CFO role – sorry CFO role to focus credible modeling of what Shell could feasibly be expected to deliver on a three-year to five-year outlook. I mean, you've got a lot of guidance in play, but there does seem to be a lot of ignorance around that guidance and people just completely ignoring it. My second question, a bit shorter perhaps, when do you think that return on capital employed will be back above weighted average cost of capital? Thanks.
Jessica Uhl - Royal Dutch Shell Plc: Thank you for the questions. To your first point, we are building a company and running a company that we expect will be a stronger company and a more consistent company in terms of cash flow generation going forward, and we're providing guidance in terms of expectations on a quarterly basis more so than we have in the past. But I think if you go back to the Capital Markets Day and the significant amount of change that's happened in the organization from a strategy perspective, the bringing in of BG and the integration of that large company into our business and the things we said we would do, the four levers we would pull, and you look at the performance today, I think you see a company that is delivering on its commitments and doing what it said it would do a year ago. And what you're also hearing is a company that's not changing its strategy. It's not changing the levers it's pulling. It's a consistent story. And what you have now are three solid quarters that demonstrate our delivery against that strategy and those commitments. Now, there's a number of things that will affect our business. So, we're undergoing a fairly sizable portfolio reshaping; $30 billion removal, if you will, from your balance sheet and your financial statements and assets is not inconsequential in terms of the changes that has on your business. We've tried to provide as much guidance as we can. There's a lot of ins and outs in all of that. There's timing associated with that. So that's one big change that we're trying to help provide transparency in terms of what that's going to look like at the end of the day. Then, at the same time, you've got a significant amount of growth happening. We're trying to give you insight in terms of what that growth looks like. Again, a lot of new cash coming in. So, you've got a lot of assets going out, a lot of cash coming in, a lot of new business, new growth coming in. And we're doing, I think, our best to try and give you the signals what that's going to look like. And that's why I keep pointing back to 2020, because all of this is happening live and we can see a path where we're through the $30 billion divestment program and that reshaping of the portfolio and a ramp-up of a huge chunk of projects, mostly coming online and more or less fully on-stream in that 2020 timeframe, and that's why we're picking that number as kind of a bit of a steady-state and a moment in time where all of these things come together and generate significant cash, even at a $60 oil price assumption. So, I encourage you to focus on the delivery of our company, the last three quarters, the significant cash generation, I believe higher than anyone else in the industry, the consistency of strategy and the consistency of delivery when thinking about what this business can generate in the next couple of years. Thank you.
Operator: Thank you. And as there are no further questions in the queue, ma'am, I would like to turn the call back to you for any additional or closing remarks.
Jessica Uhl - Royal Dutch Shell Plc: Thank you, everyone, for joining the call today and for your questions. The second quarter results are scheduled to be announced on the 27th of July 2017, and Ben and I look forward to talking to you all then. Thank you.
Operator: Thank you. So, ladies and gentlemen, that will conclude today's Royal Dutch Shell 2017 first quarter announcement. Thank you for your participation. You may now disconnect.